Operator: Thank you for standing by, and welcome to Intel Corporation's Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Mr. John Pitzer, Corporate Vice President, Investor Relations. Please go ahead.
John Pitzer: Thank you, Jonathan, and good afternoon to everyone joining us today. By now, you should have received a copy of the Q4 earnings release and earnings presentation, both of which are available on our Investor Relations website, intc.com. For those joining us online today, the earnings presentation is also available in our webcast window. I'm joined today by our Interim co-CEOs, Michelle Johnston Holthaus; and Dave Zinsner. As you know, Michelle is also CEO of Intel Products; and Dave continues to serve as Intel CFO. In a few moments, Michelle will open up with some summary comments before providing more detail on Intel Products. Dave will then discuss Intel Foundry and the overall financials, including our Q1 guidance. Before we begin, please note that today's discussion contains forward-looking statements based on the environment as we currently see it. And as such, are subject to various risks and uncertainties. It also contains references to non-GAAP financial measures that we believe provide useful information to our investors. Our earnings release, most recent Annual Report on Form 10-K and other filings with the SEC provide more information on specific risk factors that could cause actual results to differ materially from our expectations. They also provide additional information on our non-GAAP financial measures, including reconciliations where appropriate to our corresponding GAAP financial measures. With that, let me turn things over to Michelle.
Michelle Johnston Holthaus: Thank you, John, and let me add my welcome. It's been roughly two months since Dave and I stepped into our roles as interim co-CEOs. From day one, we have been working closely together alongside the Board to drive better execution of our strategy. There are no quick fixes. And we are committed to improving our performance and rebuilding our credibility through persistent hard work that delivers tangible results. As part of this, we are driving more focused investments across the business. We cannot be all things to all people, and we are prioritizing areas where we can drive differentiated value. We are also continuing to simplify our business and become a leaner, more efficient company. And most of all, we’re doing a better job of listening to our customers to ensure we meet their needs. Q4 was a step in the right direction. We delivered revenue, gross margin and EPS above our guide. Intel Products executed to drive revenue in the quarter, even as PC inventory continue to normalize. And Intel Foundry drove incremental operating efficiencies while achieving key grant related milestones, which supported solid upside to gross margins. As co-CEOs, you can expect us to be very straightforward and direct. We only make commitments, we are confident we can deliver. We firmly believe that what we say is not nearly as important, as what we do. And everything we do must be in service of our customers. Innovating to solve their most pressing challenges is the surest path to creating shareholder value. This is the mindset I have brought to my position as the CEO of Intel Products. This is a great business with great people, partners and IP to design world-class products from edge-to-cloud. I take nothing for granted. But I firmly believe that the core x86 architecture and the ecosystem we have built and invested in over the decades, create a solid foundation for success. Our customers share this view. But they need us to improve our execution and hit our commitments. I am setting clear priorities and directions in each business to drive better outcomes. I think about Intel products in three buckets. First, client edge; second traditional data center; and third, the AI data center. Let me spend a few moments on each. In client, Intel CPUs power roughly seven out of every 10 PCs. This is a strong position that gives us advantages in the market. That said, the market is becoming more competitive, especially as we see new entrants trying to participate in the AI PC category. Personally, I thrive on competition. It drives a healthy paranoia across everything we do, and we are using it as motivation to up our game even more. The success of Core Ultra across, Meteor Lake, Arrow Lake and Lunar Lake has established Intel as the market leader in AI PC CPUs, and we remain on track to ship more than 100 million cumulative systems by the end of 2025. We are innovating at scale unlike any of our competitors. This was on display earlier this month at CES, where we launched the enterprise versions of our AI CPUs with compelling new features to Intel vPro. This is a testament to the strong ecosystem we have built with IT departments, around manageability, security, trust and brand. And we expect these investments to possession us well, as corporations begin their migration to Windows 11. Alongside our investments in enterprise, our ecosystem reach also positions us well in AI PC consumer markets. We are working with more than 200 ISVs across more than 400 features to optimize their software on our silicon. I'm excited about the new applications I'm seeing in the pipeline that will begin to proliferate over the coming months. Our goal is to innovate, partner and fortify our position, as the preferred CPU of choice. Looking ahead to the rest of the year, we will strengthen our client road map with the launch of Panther Lake, our lead product on Intel 18A in the second half of 2025. As the first volume customer of Intel 18A, I see the progress that Intel Foundry is making on performance and yields, and I look forward to being in production in the second half, as we demonstrate the benefits of our world-class design and process technology capabilities. 2026 is even more exciting from a client perspective as Panther Lake achieved meaningful volumes, and we introduced our next-generation client family code named Nova Lake. Both will provide strong performance across the entire PC stack, with significantly better costs and margins for us, enhancing our competitive position and reinforcing our value proposition to our partners and customers. Let me now turn to our traditional data center business. The team has made good progress towards strengthening our offerings and driving better, more predictable execution. This year is all about improving Xeon's competitive position, as we fight harder to close the gap to competition. The ramp of Granite Rapids has been a good first step. We are also making good progress on Clearwater Forest, our first Intel 18A server product that we plan to launch in the first half of next year. All of this provides a strong foundation on which to build as we execute. The world's data center workloads still primarily run on Intel Silicon, and we have a strong ecosystem, especially within Enterprise. We are going to leverage these strengths, as we work to stabilize our market share in 2025. One of the ways we'll do this is by reengaging the x86 ecosystem. We have seen a positive response from the x86 ecosystem advisory group, we formed last fall, and we are encouraged by the enthusiasm for building both semi-custom and custom products. This is a big area of opportunity for the business, and we look forward to talking more about this as we have news to share. Turning to the AI data center. I will start by saying that this is an attractive market for us over time, but I am not happy with where we are today. On the one hand, we have a leading position as the host CPU for AI servers. And we continue to see a significant opportunity for CPU based inference on-prem and at the edge, as AI-infused applications proliferate. On the other hand, we are not yet participating in the cloud-based AI data center market in a meaningful way. We have learned a lot as we have ramped Gaudi, and we’re applying those learnings going forward. One of the immediate actions I have taken is to simplify our road map and concentrate our resources. Many of you heard me temper expectations on Falcon Shores last month. Based on industry feedback, we plan to leverage Falcon Shores as an internal test chip only without bringing it to market. This will support our efforts to develop a system-level solution at rack scale with Jaguar Shores to address the AI data center. More broadly, as I think about our AI opportunity, my focus is on the problems our customers are trying to solve, most notably, to lower the cost and increase the efficiency of compute. AI is not a market in the traditional sense. It's an enabling application that needs to span across the compute continuum from data center to the edge. As such, a one-size-fits-all approach will not work, and I can see clear opportunities to leverage our core assets in new ways to drive the most compelling total cost of ownership across the continuum. Before I turn the call over to Dave, let me close by speaking as Intel Foundry’s largest wafer customer. I have a pretty simple approach. When we are able to combine world-class products with world-class process technology, we win. As CEO of Intel Products, I’ll always make process technology decisions based on what is best for my customers. And Intel Foundry will need to earn my business every day, just as I need to earn the business of my customers. Having said that, I am confident in the Intel Foundry team ability to support my current and future product roadmap. And I’m excited to do more business with them as their process technology continues to advance. A stronger Intel Products, combined with a more competitive Intel Foundry, is a recipe for success for Intel overall. Dave over to you.
David Zinsner: Thanks, Michelle. Let me add my welcome. I’m going to address three topics today, update on Intel Foundry; second, Q4 and full-year financials; and, third, our Q1 guidance. Starting with Intel Foundry. I have had an opportunity to meet with a number of our partners and potential customers for Intel Foundry over the last couple months. I come away from those meetings encouraged by the opportunity we have in front of us, and I have received clear feedback on what our customers need from us to succeed. This starts with our execution on Intel 18A. This has been an area of good progress. Like any new process, there have been puts and takes along the way, but overall we are confident that we are delivering a competitive process. We are excited by the launch of Panther Lake this year and the internal ramp of Intel 18A in the second half that will support increased volumes and improved profitability in 2026. From the perspective of external customers, Intel 18A is a very competitive offering that gives each of them a reason to engage with us. However, foundry wins are about more than just technology. Trust is also a significant factor. Customers must believe you can execute consistently and be willing to invest in IP to port a design to a new foundry. That’s why past transitions in the industry have generally started with customers giving new foundry partners, smaller volumes then gradually increasing as trust grows. We have made good progress. But to accelerate this, I am asking the team to re-double their efforts on ease-of-porting, IP availability and best-known foundry methods. I am particularly pleased by the willingness of our suppliers and partners to engage with us, augmenting our expertise and hard work with theirs. Job Number 1, is earning the customer’s trust. The Intel 18A design wins to-date provide good validation of the strategy, and we continue to have a healthy RFQ pipeline of potential customers. But we won’t win every deal out of the gates. We will be selective and focus on areas, where we are confident that we can be a meaningful contributor to the success of our customer, and we look forward to updating you as RFQs become wins. In addition, we continue to have good momentum in advanced packaging and in our collaborations with Tower Semiconductor and UMC. All three are critical to utilize our assets longer for higher rates of return. This is a good segue into my other key areas of focus for Intel Foundry: improving our financials and making sure that we are deploying your capital appropriately. At roughly $18 billion in revenue, Intel Foundry today is larger than all but one external foundry. That is clearly not reflected on our P&L with negative gross margins and a greater than $13 billion operating loss in 2024. We are going to systematically attack our costs and remain highly focused on our goal of delivering break-even operating income for Intel Foundry by the end of 2027, and we expect to demonstrate improvements this year. The financial benefits of shifting our wafer volumes from Intel 7 to Intel 18A, along with learning to run our fabs more efficiently and our process nodes longer, will be important drivers of improving our financials. Beyond 2027, we need to drive to cash flow from operations that support our capital spending needs and ultimately generate a great return on your capital. I remain very optimistic on our opportunity at Intel Foundry. The pervasive growth of AI is driving accelerating and unprecedented demand for silicon and there continues to be an unmet need for greater choice and overall manufacturing capacity in the industry today. TSMC is a valued supplier to Intel Products and important partner to IMS, and they have established a very high standard for what it takes to be a world-class foundry. But the market overall needs multiple players, and, as we execute, Intel Foundry has a very important role to play globally and especially here in the U.S., where we continue to invest in leading-edge R&D and manufacturing capacity. We were also pleased to sign with the U.S. Department of Commerce a definitive agreement awarding us up to $7.86 billion in grants. As you know, these grants are milestone-based, and we have already received $1.1 billion in Q4 and have received an additional $1.1 billion in January of Q1. In addition, we continue to make good progress building out our Secure Enclave in partnership with the Department of Defense. We look forward to continued engagement with the Trump administration, as we advance this work and support their efforts to strengthen U.S. technology and manufacturing leadership. Finally, as you will recall, we announced our intention to establish an independent subsidiary structure for Intel Foundry to provide clear governance and operational separation. This structure also enables us to seek additional funding options from both strategic and financial partners, which we are now actively beginning to explore. Let me now turn to our consolidated financial results and Q1 guidance. Fourth [technical difficulty] $14.3 billion, up 7% sequentially and at the high end of the range we provided in October, as a result of solid growth in CCG, equipment sales at IMS and the edge business of NEX. Non-GAAP gross margin came in at 42.1%, 260 basis points ahead of guidance on higher revenue, better costs and the receipt of our first CHIPs grants, offset partially by inventory reserves related to Gaudi. We delivered fourth quarter earnings per share of $0.13 versus our guidance of $0.12. Higher revenue, stronger gross margin and improved operating leverage was offset by lower interest and other income, which includes an accrual related to our second SCIP agreement of roughly $750 million, reflecting an adjustment in our planned capacity ramp in Ireland. In Q2, we began the process of resizing our expense structure to support more modest long-term growth, including adjusting our capacity plans to more conservative levels, driving impairments in Q3 and this accrual in Q4. Q4 operating cash flow was positive $3.2 billion, down approximately $900 million sequentially due to the cash outlays associated with our Q3 restructuring charges. We had gross CapEx of $6.3 billion with offsets of $1.6 billion in the quarter resulting in an adjusted free cash flow of negative $1.5 billion. As I mentioned earlier, we also received a portion of the CHIPs grants this quarter. For the full year, revenue was $53.1 billion, down 2.1% year-over-year. Modest year-over-year growth in Intel Products was more than offset by lower revenue at Mobileye and Altera, as well as the forecasted decline in Foundry Services due to the end of life on traditional packaging revenue. Full year gross margin was 36% and down 760 basis points due to Q3 impairments, lower revenue and inventory impacts. Full-year EPS was minus $0.13 and down $1.18 on lower revenue, lower gross margin and higher period charges. We generated $8.3 billion in cash from operations, made $24 billion of gross capital investments and generated capital offsets of approximately $13.4 billion from SCIP partner contributions and government grants and incentives. As a result, adjusted free cash flow was $2.2 billion and we ended the year with $22.1 billion of cash and short-term investments. Moving to segment results for Q4. Intel Products revenue was $13 billion, up 7% sequentially. CCG revenue was up 9% quarter-over-quarter as the rate at which our customers digested inventory slowed meaningfully from Q3. While difficult to quantify, we suspect a portion of Q4 revenue upside was due to customers hedging against potential tariffs. DCAI revenue was up slightly sequentially off a better-than-expected Q3, as demand for traditional servers remained stable. Revenue for NEX was up 7.5% sequentially and is now up more than 20% from Q2 lows, as customers are returning to more normal buying patterns especially in our edge business. Operating profit for Intel Products was $3.6 billion, 28% of revenue, and up $300 million quarter-over-quarter on higher revenue and reduced operating expenses. Intel Foundry delivered revenue of $4.5 billion, up 3% sequentially, on increased EUV wafer mix and higher equipment sales by IMS. EUV wafer revenue grew from 1% of total revenue in 2023 to greater than 5% in 2024. Intel Foundry operating loss in Q4 of $2.3 billion improved meaningfully sequentially as Q3 was impacted by $3.1 billion of impairments. Excluding impairments, operating loss would have been roughly flat quarter-on-quarter. Turning to All Other. Mobileye reported revenue of $490 million, up 1% sequentially, with operating profit of $103 million, and earlier today guided for full year 2025 increases to both revenue and operating income. Altera delivered revenue of $429 million, up 4% sequentially. Operating margin was 21% versus 2% in Q3 on better gross margins and operating leverage. For Q1, we expect Altera revenue to be down sequentially less than overall Intel consolidated. We continue to make good progress on the stake sale of Altera and see a path for an IPO in the coming years. Now turning to guidance. Q1 has historically been our seasonally weakest quarter of the year, down high single to low double digits percentage sequentially on average. In addition, we see added pressure coming from macro uncertainty especially around tariffs, balancing of PC inventory and increasing competition. These mitigating factors support a more-tempered revenue outlook as we come into the new year. As a result, we are forecasting a revenue range of $11.7 billion to $12.7 billion in the first quarter of 2025, down between 11% to 18% sequentially. Within Intel Products, we expect revenue to decline across all three of our segments at roughly similar rates. We expect Intel Foundry revenue roughly flat to down modestly quarter-over-quarter helped by continued mix shift to EUV wafers, Intel 18A samples and advanced packaging. At the midpoint of $12.2 billion, we expect gross margin of approximately 36%, with a tax rate of 12% and break-even EPS, all on a non-GAAP basis. Let me take a few moments to provide some commentary that may be helpful for your full-year 2025 modeling. At the consolidated level, we expect gross margin to improve from Q1. Intel Products gross margin was 51% in 2024 and is expected to decline this year due to product mix in both CCG and DCAI. Intel Foundry gross margin will improve on EUV mix shift and growth in advanced packaging despite expected depreciation growth in 2025 of roughly 10%. We continue to target 2025 OpEx of $17.5 billion with further reductions in 2026. We expect non-controlled income, or NCI, to net to roughly zero in Q1 and be in a range $500 million to $700 million impact this year, on a GAAP basis. NCI is expected to grow in fiscal year 2026 to a range of $1.2 billion to $1.4 billion, on a GAAP basis, and increase further in future years, as we increase wafer outs at our fabs where we have agreements with SCIP partners. We anticipate that our 2025 gross capital investments will be approximately $20 billion and at the low end of our previous guide of $20 billion to $23 billion, reflecting further capacity adjustments to Ohio and Ireland, as well as better utilization of what we call our construction-in-progress. Specifically, we invested ahead of demand over the past few years and these capital investments will enable us to meet expected demand at a lower level of spending, as we drive to more efficiently deploy our capital. We expect 2025 net CapEx of $8 billion to $11 billion with roughly half of the offsets expected to come from government incentives and tax credits and half from partner contributions. De-levering in 2025 remains a top priority for us on lower CapEx, increased cash from operations and value unlock across our non-core assets. Finally, I’ll remind you that we will provide new segment reporting in conjunction with our Q1 earnings. We expect to make further changes to our segments, including moving the edge portion of NEX into CCG, and our auto business from All Other into CCG. In addition, we expect to move the networking portion of NEX, which includes Xeon sales, into DCAI, and the IMS equipment business out of Intel Foundry into All Other. I’ll wrap up by saying that Q4 was a solid quarter to close out a challenging year. With that said, our profitability is below where it needs to be, and we must enhance our competitive position in the market. Michelle and I will continue taking actions to improve the operational and financial trajectory of the business. We will remain focused on building a stronger Intel Products business and becoming a more efficient Intel Foundry. And by driving continued progress in these areas, we are confident in our ability to unlock value for all our stakeholders. Before we open the line to questions, it’s worth mentioning that the board remains intensely focused on the search for a permanent CEO. The search is progressing, but we have nothing new to report and won’t be able to add additional information on this topic today. With that, I'll turn it over to John to start the Q&A.
John Pitzer: Thank you, Dave. We will now transition to the Q&A portion of our call. As a reminder, we would ask each of you to ask one question and a brief follow-up question where applicable. With that, Jonathan, can we take the first question please?
Operator: Certainly, and our first question for today comes from the line of Ross Seymore from Deutsche Bank. Your question please.
Ross Seymore : Hi guys, thanks for letting me ask a question. I guess the first one would be for MJ. You talked about no quick fixes, but a lot of things to improve the road map. Specifically on the DCAI side of things. Can you talk about how much you think Granite is closing the gap. It sounds like Clearwater Forest is not mentioned nearly as much as far as a 2025 event neither from a launch or from a revenue perspective. So if there is any updates on that? And then just overall, what it's going to take? And when do you think we will be able to externally see that gap close versus competitors?
Michelle Johnston Holthaus : Sure. Thanks for the question, Ross. I look at it this way. So when I talk about no quick fixes, I think it's going to be one years to two years of consistent execution and continuing to see better products each year, really to bring our customers back to the table and be excited about Intel's road map. Granite Rapids is a good first step in doing that. It does close the gap. Our customers are excited about it, and we are starting to see the competitiveness of that product, materialize in volume. But I'm also very clear about where we stand. And so we've just got to see that continued throughout '26 when we get to Diamond Rapids, et cetera. So you also asked me about Clearwater Forest. So I really look at the data center market in kind of two buckets. We have our P-core products, which you know is Granite Rapids and then we have our E-core products which equates to Clearwater Forest. And what we've seen is that's more of a niche market, and we haven't seen volume materialize there, as fast as we expected. But as we look at Clearwater Forest, we expect that to come to market in the first half of 2026. 18A is doing just fine on its performance and yield for Granite Rapids, but it does have some complicated packaging expectations that move it to 2026. But we expect that to be a good product and continue to close the gap as well. But this is going to be a journey. It's not a destination. Ross,
John Pitzer : Ross, do you have a follow-up question?
Ross Seymore : Yes, switching over to Dave on the profitability side. Can you just walk us through some of the puts and takes on the gross margin sequentially in the first quarter? Obviously, revenues are down, but anything else? And then you mentioned that it would be the low point of the year gross margin in the first quarter. But what would be the headwinds and tailwinds as you think through 2025 as a whole on that metric? Thank you.
David Zinsner : Yes. Thanks, Ross. Okay. So for the first quarter, the biggest obvious contributor to gross margins sequentially is the revenue decline. At the midpoint, we are declining a little over $2 billion. And so that obviously on a mostly fixed cost business, that does affect it. We also did have a couple of bluebirds in Q4. One was the revenue beat, and so that actually elevated the revenue a bit. But the other was when we signed the CHIPS agreement, we were able to take some of the grant and accrue it, as kind of a benefit to cost of sales because it offset period expenses we had spent before. So we weren't sure we were going to sign it in the fourth quarter, which is why I didn't guide that in the guidance from last quarter, but obviously materializing that pushed the gross margins up for the fourth quarter. In the first quarter, I think what -- and we've kind of telegraphed this now for several quarters. Intel Products gross margins are going to be under pressure this year. Some of the parts have a higher cost, in particular Lunar Lake has a higher cost, as you know, because it is got the memory and package. And so we are basically buying that memory and turning around and selling it at the same price. So that's really weighing the margins down on Lunar Lake. So margins for products are going to be under pressure pretty much throughout this year. Then as Panther Lake comes in volume next year, more materially and in addition, the products beyond that, we will start to see some improvement in margins on Intel products. Now that was always to be offset in a lot of ways by the margins of Intel Foundry. We see more of a mix of EUV wafers. They have better pricing with a better cost. And so we will see a mix improvement throughout the year. We are also reducing our spending there in period expenses as part of our kind of overall $10 billion plus cost spending reduction. But it doesn't really show up in the first quarter. It's not until we get into the second and third quarter that we start to see that improvement show up. So those are really the bigger drivers of margins on the first quarter. It is a low point, as we talked about. The benefits are going to be really around margins improving on Intel Foundry. As the mix of EU wafers increases throughout the year, in particular, as we get Panther Lake in there in the back half of the year, and we are selling 18A wafers at a higher margin. And then next year, we have Panther Lake with more volume and all those wafers start to come back, and that becomes a really big benefit to Intel overall.
John Pitzer: Thank you, Ross. Jonathan, can we have the next question, please?
Operator: And our next question comes from the line of Stacy Rasgon from Bernstein Research. Your question please.
Stacy Rasgon : Hi guys. Thanks for taking my question. First question just on the segment guide for next quarter. Why are all three product segments down equally when it sounds like you've gotten more headwinds just on the surface of PC's inventory digestion and maybe the roll-off of some of that tariff pull forward. What's going on in the data center and the NEX businesses that makes them as bad as a client into Q1?
David Zinsner : Well, broadly across all markets, and we didn't necessarily telegraph every market in terms of where we think. But I'd say broadly, we are a little bit cautious on the macro and that affects all markets. In addition, seasonality does play in most of the markets, and that does impact the first quarter as well. So I’d say, a combination of just macro uncertainty combined with kind of typical seasonality across all the businesses.
John Pitzer : Stacy, do you have a follow-up question?
Stacy Rasgon: Yes, I do. Thank you. So you also talked about increased competitiveness weighing on margins at least into Q1. So again, I presume that's a question on pricing. I guess is that right? Do you expect that to persist through the year? And how do you think about that competitiveness, potentially weighing on pricing across client and especially in the data center?
David Zinsner: Yes, okay. So our -- the co-CEOs are trying to figure out who should answer Okay, go ahead, Michelle. I think whoever wants to take it.
Michelle Johnston Holthaus : Yeah. The way I look at that is we do have increased competition as we see new market entrants particularly come in to CCG. We've got a very good product in Lunar Lake there, but as Dave talked about, the margins on that product are more pressured based on the cost of the product. But we are going to stem the market segment share decline in client, and we're going to go after winning every socket. That mirrors itself when you think about the data center market as well. As I said, Granite Rapids is a very positive step in a competitive direction, but we have to stem the tide of share loss in data center. And so we will be fighting for every socket in that business. And the way I look at it is we need to be aggressive. We need to win share, and we need to show our customers that they can win with us.
John Pitzer: Thank you, Stacy. Jonathan, can we have the next question please?
Operator: Certainly. And our next question comes from the line of C.J. Muse from Cantor Fitzgerald. Your question please.
C.J. Muse: Yeah, good afternoon. Thank you for taking the question. I guess first question under your new co-leadership. I would be curious to hear how your strategy has potentially evolved specifically for IFS.
David Zinsner : I mean I think -- and we've talked about this over the last couple of quarters. For one, we are not looking to spend ahead of success. And so you saw our CapEx guide come down from the [$20 billon to $23 billion] (ph) range down to [$20 billion] (ph), that's in support of that strategy. We want to absolutely wow the customers. But to do that, we've got to be very careful around what we're promising them as well. So I think what you'll see a lot of is a little bit more conservatism around how we deploy capital, how we engage with customers. We want to be doing more than what we promised to every turn -- to every stakeholder, including investors, including customers, including suppliers, so what have you. That's pretty much the strategy. The main goal of building a world-class foundry, that is still in place. We feel that there absolutely is a need for another player in the leading-edge semiconductor manufacturing space. In particular, in the U.S., it aligns with the government -- the U.S. government's interest as well. So we are absolutely committed to that. It's now about being very cautious and careful around generating the best ROIC for the shareholders.
John Pitzer : C.J., do you have a follow-up question?
C.J. Muse: I do. Thanks. I guess, Dave, another question for you. I believe that three months ago, the stated goal for 2025 was to be free cash flow positive, I guess given kind of the weakness we are seeing in Q1 and uncertainty, can you kind of walk through how you are thinking about the path to turning free cash flow positive?
David Zinsner : Yes. So we are not obviously guiding beyond the first quarter. But I would just say, we did a very good job in a challenging situation in '24 around cash flow from operations by driving strong working capital improvements, and we adjusted CapEx accordingly, and that helped stem the tide. So while we were negative in '24, we were closer to zero than we should have been based on the top-line results. I'd say it is more about the same in '25. We're going to be acutely focused on cash flow from operations, really managing working capital effectively. We adjusted the CapEx down, as I talked about in relationship to a different outlook. We do expect some pretty significant offsets as well more than $10 billion of offsets, which will also help. I won't throw out a number yet for adjusted free cash flow for the year, but I would just say that it is a focus that -- where we want to improve. I would say in addition to that, we have these non-core businesses, and we see opportunity to monetize there. That will help us delever because that's a focus of us -- focus of ours in 2025. We are far along on the process of Altera. I suspect that by the time we get to earnings next quarter, we will have something to say there that will help generate some cash that we can use to delever.
John Pitzer: Thanks C.J. Jonathan, can we have the next question please?
Operator: Certainly. And our next question comes from the line of Joe Moore from Morgan Stanley. Your question please.
Joseph Moore : Great. Thank you. In the prepared remarks, you made reference to the sort of tempering of expectations of Falcon Shores. Can you talk about what was behind that? And kind of what does it take for you to get competitive in that space?
Michelle Johnston Holthaus : Yes, of course, I can, Joe. I think it really comes down to taking the time over the last six weeks to actively engage with the teams, look at our road maps, look at where we are from a competitive perspective and from an execution perspective, and that really resulted in that decision. A lot of conversations with my customers, as well in regards to what they see is needed to be competitive and to deliver the right product. And so when I looked at that, obviously, we have our Gaudi product, we are learning a lot from that. But one of the things that we've learned from Gaudi is it's not enough to just deliver the silicon. We need to be able to deliver a complete rack scale solution, and that's what we are going to be able to do with Falcon -- excuse me, with Jaguar Shores. Falcon Shores will help us in that process of working on the system, networking memory all the component functions of that, but what customers really want is that full sale rack solution. And so we are able to get to that with Jaguar Shores. I think we've also seen a lot this week with DeepSeek and a lot of the excitement around not one-size fits all. And so I'm also trying to look at the road map to say there is a lot of IP and assets that we have at Intel Product co that we can leverage to address this market. We've got great CPUs, GPUs, ASICs, FPGAs, and we need to figure out how we harness those because if we've seen anything this week, when there are constraints put on customers, they figure out different ways to deploy technology. And so that's also a great opportunity and something that I'm looking at and looking at if there is ways that we can be disrupted there.
John Pitzer : Joe, do you have a follow-up question?
Joseph Moore : I do. And thank you for your candor about all of that. I think separately, you mentioned in his prepared remarks about potentially seeing tariffs driving some pull forward. Can you just talk about how pervasive that might be? Is that conservatism that, that might be happening? Are you seeing evidence that's happening? Just some color on where that's coming from.
David Zinsner : Yes. I mean, we obviously have a fairly good sense of what customers need from quarter-to-quarter. And in a couple of instances, customers ordered more than we think they were digesting. And so it was really just the analytics that gave us insight into – they are doing that for a reason, and we know tariffs are big subject of a lot of our customers. It was in the region you might expect in the Asian region that we saw this. It is hard for me to extrapolate this beyond this quarter. A lot not known yet around what might be the plans on tariffs. I just thought it was a little bit of hedging going on by customers that pulled revenue into the fourth quarter and away from the first quarter.
John Pitzer: Thank you, Joe. Jonathan, can we have the next question, please?
Operator: And our next question comes from the line of Timothy Arcuri from UBS. Your question please.
Timothy Arcuri : Thanks a lot. Dave, I also wanted to ask about gross margin. I think the message you were saying is that it's kind of 60% incremental, and that was kind of off of the [39.5%] (ph) that you guided for Q4, but obviously, you came in, you had these one-timers and now we're down to March. So can you just sort of level set us for kind of how to think of the incrementals from here?
David Zinsner : Incrementals from Q -- in other words, into [Q2, Q3 and Q4] (ph). Is that what you're saying?
Timothy Arcuri : Yes. Yes. Just kind of like is it off of [39.5%] (ph), is about [ 36.5%] (ph).
David Zinsner : Yes. The rule of thumb has generally been 60% in this period of what I call catch up. Obviously, we think we can do better fall-through, as we get more stabilized. The one dynamic in '25 is this kind of margin pressure around product like Lunar Lake. That probably pulls the range down to probably something more like in the 40% to 60% fall-through is probably the right way to think about it just for that dynamic. Now we get into '26 and you start to see a lot more 18A volume through Panther Lake, I think we are in the 60%-plus range at that level.
John Pitzer : Tim, do you have a follow-up question?
Timothy Arcuri : I do. Yes, Dave, also, so you took the CapEx to the low end, but there's $1.2 billion outflow that's in the financing section of the cash flow statement. What is that? I guess I'm trying to figure out just on an apples-to-apples basis, is like CapEx really coming down this year? And is that a line item in the financing section, is that going to keep getting bigger this year? Thanks.
David Zinsner : Yes. No -- let's see, let me go back on the CapEx. If you look at CapEx for '25, the $20 billion forecast, what's driving that lower is really a function of better utilizing assets under construction. So our philosophy has been to invest kind of ahead of what was required, and we built up a pretty significant balance in assets under construction, I mean, to the tune of greater than $50 billion. So we actually have a lot of capital on the balance sheet that really hasn't been deployed. And so what we pushed the teams to do in an effort to drive better ROA and return on invested capital is to have them digest as much as that as possible and limit the amount of purchases that we make externally. And that's going to allow us to get down to the $20 billion range. I would be – we are not doing any funky financing around this, but I would be in the spirit of transparency, say that CapEx is two things, right? It's what you place in terms of orders on equipment, and it's when you give them the cash. And so for sure, we are working the payment terms of suppliers to improve our -- to improve our CapEx, lower our CapEx, that is pushing spend out even as we are getting the assets in. But quite honestly, by the time we've actually deployed it and it's depreciating, we've actually, in all cases, I think, spent the money because it goes on to assets under construction and probably hangs in there for like nine months before it's ever deployed.
John Pitzer: Thank you, Tim. Jonathan, do we have the next question?
Operator: Certainly. Our next question comes from the line of Vivek Arya from Bank of America Securities. Your question please.
Vivek Arya : Thanks for taking my question. First kind of related questions are on the data center server CPU market. M.J. I'm curious, when you look at Intel versus your x86 competitor, do you think these share gains are because of better design or access to better manufacturing? And so what can be fixed and what will take time to fix or if you were to outsource more, right to external foundry does that help you regain share, and I imagine that applies more to cloud. And then on the enterprise side, have you seen any share shifts at all over the last few years?
Michelle Johnston Holthaus : Thanks, Vivek. Well, as you look at data center and the competitiveness, as I said and stated earlier, Granite Rapids did a good job of making a good first step in closing the gap versus competition, but we still have a gap. And so we've got to be laser focused next on delivering Diamond Rapids. And the feedback for both of those products early is very positive. When it comes to external manufacturing, I've been pretty transparent about this in the way I think about it in my philosophy. The way I look at it is you have to have the right product at the right process and you have to deliver that within the right market window. If you look at Intel's overall today, we do about 30% of our manufacturing externally across a variety of partners. That's probably the high for where we are today, but it will never be 0%. What I can tell you is 18A is going well. They earn my business, obviously both for Panther Lake and for Clearwater Forest. But as I think about being more competitive in data center moving forward and I look at future designs, I will ask myself that question every time, as we look at the road map. So I think it would not be unfathomable that I would put a data center product outside. If that meant that I hit the right product, the right market window, as well as the right performance for my customers.
John Pitzer : Vivek, Do you have a follow-up question?
Vivek Arya : Yes. Thank you, John. So maybe one for Dave on this non-controlling interest. I think David said $500 million to $700 million for this year, so a little bit lower than I think the $700 million you had before. But then it starts to grow to $1.2 billion or $1.4 billion. Is this always going to keep on increasing, right? Like what is the right way for us to model it because the less you outsource -- I guess the more you insource, the more you give to Intel Foundry, the more reversals, right, you have to do on this NCI part, I would imagine. So is it a reasonable way to model how much of a headwind this is to your reported EPS?
David Zinsner : Yes, it is a good question. I mean, just to break it all out, it is more than just the SCIPs. SCIP 1 and 2, are obviously in there, but also Mobileye shows up in noncontrolling interest. And as we sell down stakes in companies like Mobileye and Altera, it actually exacerbates that NCI. So Altera doesn't have any NCI, but as soon as we sell a stake, it is going to have NCI. So there are a number of things that go into it, which makes it a little bit difficult to forecast because you have to kind of know -- you have to know two things with certainty, one, exactly what share of every asset you have? And two, what your production is going to look like in the fabs that you have these SCIPs. So what we felt comfortable was, was guiding '25 and giving you an indication for '26, it's likely to go up in '27. But I think it is probably too soon to actually identify what the exact number will look like.
John Pitzer: Thanks Vivek. Jonathan, can we have the next question please?
Operator: Certainly. Our next question comes from the line of Ben Reitzes from Melius. Your question please.
Ben Reitzes : Hi guys. Thanks a lot for the question. Dave and MJ, I wanted to -- I know in your prepared remarks, you said you look forward to working with the Trump administration. I was wondering if you could just give a little more detail about your initial talks with them. Have they reached out? And who's like leading the discussions from your side? And any color on what you're exactly talking about and what they're particularly interested in? I mean Howard Lutnick, obviously, it sounds like this is very near and dear to him during his confirmation hearings and would love to just kind of get a little bit more color on where you -- what you have done so far and where you think it's going? And then I'll have a follow-up. Thanks so much guys.
David Zinsner : Yes. Okay. Thanks, Ben. Maybe I'll take that as the co-CEO. yes, we have good engagement with them. We've really been engaged since the election, with the team at various levels, obviously, at the CEO level, but also we have a strong government affairs team that engages with them every day. I feel really good about their outlook on bringing semiconductor manufacturing back to the U.S. I think this is a very positive sign, obviously, for us. Quite honestly, we never left the U.S. So we are in a kind of the pull position in that regard. And I think they understand the value of doing R&D in the U.S. for advanced semiconductor manufacturing, which also is positive. They want to see more jobs coming back to the U.S. We pay high wage, high tech jobs. So that's obviously positive for them. But more importantly, this is about security, both in terms of just the supply chain but also in kind of secure manufacturing for the Department of Defense, which we are obviously in a position to do for them. I imagine that as we progress, we will be more engaged with them to make this a reality. And both Michelle and I will be meeting fairly regularly with the Trump administration officials to go make their goals or reality for the U.S.
John Pitzer : Ben, you said you had a follow-up?
Ben Reitzes : Yeah, thanks. I wanted to double-click on a prior question on gross margins and ask it a little bit more in caveman terms rather than incremental. You talked about 1Q being the bottom. I'm trying to figure out how high it goes sequentially, as we go throughout the year, given -- it sounds like you're going to be a lot more price aggressive in server CPUs and client CPUs from what I heard. So in addition to -- I'm trying to balance that with the thought of outsourcing more to TSMC for the year, et cetera. So if that's the low point. I guess what I'm trying to say, can you be more prescriptive in light of that pricing comment I made and if it's right, then just give us a little more color on where we go from the 1Q, that would be great. Thank you.
David Zinsner : Yes, I mean, we tend to be competitive in the product space. And also, as I mentioned, the cost structure is under some pressure, in particular because of Lunar Lake. So that absolutely will impact the gross margins on products. There won't be a lot of lift in that business unit through the year. And it is really not until Panther Lake comes that they, I think, start to see some better cost structure and have a part that's very competitive that I think allows us to perhaps even relax some of that pressure in a competitive market. That said, the Foundry business will see improvements. Over the course of the year, more wafers will be coming back. With Panther Lake, it becomes even better in the following year. We are improving the cost structure of the foundry business as part of our overall spending reduction plan. So that will also help. And then just keep in mind, these wafers that we are producing at Intel and 18A have much better cost structure and margin structure relative, I should say, relative to the price structure than their predecessors and that will be beneficial on the Foundry side. So in the caveman macro sense, I think the best thing to do is probably take this like somewhere in the 40% to 60% fall-through and that's probably the right rough order math to get you to where the margins will go in any quarter based on what you're projecting the revenue to be in that quarter.
John Pitzer: Thanks Ben. Jonathan, can we have the next question please?
Operator: Certainly. Our next question comes from the line of Aaron Rakers from Wells Fargo. Your question please.
Aaron Rakers : Yeah. Thanks for taking the question. I want to build off of that last question a little bit. During the prepared remarks, you had mentioned 1% in 2023 with EUV wafer mix and that progressed to north of 5% this year. Can you give us a framework of how you would define success looking through 2025, maybe exiting the year as far as EUV wafer mix? And remind us again what the delta is in terms of cost structure, the margin dynamics of an EUV wafer.
David Zinsner : Yes. Well, I'll say on the second part, maybe I'll answer that one first. I would say the price on those wafers goes up at 3 times the cost of those -- sorry, maybe said -- the blended ASP and cost goes up 3 times, as you go to 18A versus the cost. So it's a pretty dramatic improvement in gross margins as you move into 18A versus pre-EUV wafers. Probably, it would be tough for me to hazard a guess on exactly how we'll exit the year in terms of our percentage of EUV. It's definitely going to go up. Granite is on Intel3, Panther Lake is on -- Meteor Lake is on Intel3 or 4 – called the 4 three way node; panther Lake is on 18A this year. So we'll see a pretty meaningful jump in the percentage of wafers that will be EUV, as we exit '25.
Ross Seymore : Aaron, do we have a follow-up question?
Aaron Rakers : I do, and it's probably a dumb question, but I'm just going to ask it because I'm just a little confused that the SCIP impact, this $500 million to $700 million going to $1.2 billion. Just remind us again, though we are all clear that when you report EPS on a non-GAAP basis, that's in that EPS number, just so we -- I'm modeling it correctly. I'm sure my peers are already, but I want to make sure I've got that all clear in my head.
David Zinsner : I just want to be clear. It's not just SCIP. I mean that includes the Mobileye income and will include the Altera income to some extent. But yes, all of that in the NCI, we do take it against our non-GAAP number to get our fully diluted non-GAAP EPS number.
John Pitzer : Thank you. Jonathan, we have time for one more question.
Operator: Certainly. And our final question for today comes from the line of Srini Pajjuri from Raymond James. Your question please.
Srini Pajjuri : Thank you. Thanks for squeezing me in. Dave, on the foundry breakeven, I guess target for 2027. Maybe can you talk about what are the assumptions behind that? I mean do you think you can get there with mostly internal wafers? Or do you need external customers as well? If so, what sort of revenue do we need from external customers to, I guess, achieve that breakeven?
David Zinsner : Yes. So we are still aiming to get to breakeven in 2017, as you pointed out. It is really on the back of internal wafers or wafers from Intel products, I should say. And it's obviously, a lot based on EUV wafers, which carry a better margin. And as that mix improves, that significantly improves the margins. But more importantly, I think the original premise by creating this different P&L structure was to drive the foundry business really at that point was just a function of manufacturing to be more focused on efficiency, to squeeze out more from the existing footprint, to be more sensitive to capital and ultimately, just think about ROIC in everything they do, and I think that has worked actually. I mean I hear it all the time, it is amazing the transformation we've seen in staff meetings and Michelle and I that attend that, they are completely pivoted to how to make money in that business. And so I think it is working. I think we'll see significantly more efficiency as we go into work through '25 and into '26. So I feel good about our ability to get to breakeven. Obviously, we want to have external customers. And so we have some very small amount that we've assumed for '27. But if 18A looks like it's something that hunts based on feedback from customers. And I feel like we will probably outperform in that regard in terms of the mix of external customers versus internal customers. So those are all the factors that I think will drive '27 to profitability. And ultimately, obviously, we want to get to push -- to breakeven and ultimately we want to get the business to a profitable level that's consistent with what the Foundry industry gets.
John Pitzer : Srini, do you have a quick follow-on?
Srini Pajjuri : Yes. A quick one. So on the 18A Panther Lake, I think in the past, I think, Dave the comment was that you expect to bring roughly 70% of the die in-house. Is that still the plan? And then is it pretty set in stone that you are bringing it back for sure? Or do you have any flexibility whether to bring back more of the die or less of the die if you need to. So just trying to understand.
David Zinsner : I'm going to let Michelle answer that because it really is her decision on how she builds her products.
Michelle Johnston Holthaus : Yes. So we did move Panther Lake inside of 18A design win. But as I stated before, we look at each generation of products based on what's the right product, what's the right process, what's the right market window and what allows our customers to win. So for Panther Lake, that was 18A. And as I said, we are very happy with where we are from a performance and yield perspective at this point in the process. So that will stay on 18A. Then as you look forward, to our next-generation product for client after that, Nova Lake will actually have die both inside and outside for that process. So you'll actually see compute tiles inside and outside. Again, it's about optimizing to what allows us to win in the market, what allows us to win with our customers and optimizing the overall product portfolio because at the end of the day, if our customers are successful, we win, that drives more wafers and Intel Foundry and that allows us to win. But I'll continue to have a balance. And as I said, we will be doing the same look across our data center portfolio as well.
David Zinsner : Great. Thanks, Michelle. So with that, let me wrap up by saying thank you, as always for joining the call. MJ and I appreciate the opportunity to discuss our progress and the actions we've taken. Q4 was a good step forward, obviously but we have a lot of hard work ahead of us, and we are looking forward to updating you as we go along. We hope to see many of you in person at the investors conferences we'll be attending in Q1. And I would also like to highlight that the Intel Foundry team will be hosting their second annual Direct Connect User event on April 29 in San Jose, and we hope many of you will join that in person. So thank you, and good night.
Michelle Johnston Holthaus : Thank you.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.